Operator: Good day, ladies and gentlemen, and welcome to the Q3 2013 TESSCO Technologies Incorporated Earnings Conference Call. My name is Theresa, and I'll be your operator for today. [Operator Instructions] As a reminder, this call is being recorded for replay purposes. I would now like to turn the call over to Ms. Harriet Fried of LHA. Please proceed.
Harriet C. Fried: Good morning, everyone, and thank you for joining TESSCO's conference call. With us today from management are Robert Barnhill, Chairman and Chief Executive Officer; and Aric Spitulnik, Vice President, Principal Accounting Officer and Controller. Management's discussions this morning will contain forward-looking statements about anticipated results and future prospects. Forward-looking statements involve a number of risks and uncertainties, and TESSCO's results may differ materially from those discussed today. Information concerning factors that may cause such a difference can be found in TESSCO's public disclosure, including the company's most recent Form 10-K and other periodic reports filed with the Securities and Exchange Commission. With that introduction, I would like to turn the call over to Mr. Barnhill. Please go ahead, Bob.
Robert B. Barnhill: Thank you, Harriet, and good morning, everyone. As I'm sure you saw on yesterday's earnings release, we had a solid quarter. On a year-over-year basis, we generated 18% revenue growth in our core markets, and we also grew gross margin in those markets by 18%, and we set a quarterly record of earnings per share of $0.65. This transition now to the high-revenue, low-margin third-party logistics business that we've discussed in the past has been continuing, although it's somewhat of a slower pace than we initially anticipated, which does result in higher revenues than we expected. We still expect it to be substantially completed by the end of fiscal year '13, which is this March, and we continue to maintain a strong relationship with this customer and its other programs and supplying it with our own manufactured Ventev products. As we transition, we've been shifting considerable focus this 3PL relationship required towards our core business and building on the many opportunities that are materializing by the convergence of wireless and the Internet. The change is proceeding very smoothly, and we've been able to redeploy key members into our core business that has helped us drive this quarter's growth, as well as other successes. We continue to focus on the diversity of systems and customers. And it's interesting, just to give you the counts, if you will, as of today, we're serving over 20,000 different customers on a quarterly basis. We're supplying 51,000 products from almost 400 manufacturers. We're delivering 6,000 orders per day. We have 99.9% order accuracy, and we have 24/7 by 365 emergency response. So this is one of the reasons that customers do business with us. We also implemented a number of new marketing, sales, product and operational initiatives that we believe will drive new levels of success in the fiscal year and beyond. In particular, I want to continue to highlight the Internet database marketing system that we're developing. This system presents -- starts with presenting a welcoming, personal and definitive place to learn and procure products to build, use and maintain wireless systems. And then, the system attracts and captures new customers and sales opportunities and then directs one-to-one conversations with these opportunities to fill the customers' needs and build relationships, develop, cross-sell, new customers and obviously, sales. Another highlight is this past months' International Consumer Electronics Show. We introduced a suite of universal chargers from Ventev, our brand for proprietary products, that power up mobile devices no matter what the brand or type or place. And it was interesting to see, one of -- the PR that we were working on, one of the reporters made a comment that -- I'll read it to you as a quote. "Among the hundreds of companies showing car and home charges, Ventev's wall port and dashboard models stood out for their beautiful industrial design and functionality. They can rapid charge 2 mobile devices regardless of make or model, singularly or at 2 at a time. Their ecocharger uses 100 of the standby power compared to ordinary charges." So this is the kind of PR we've been getting, which is, obviously, driving new customers and new sales. Before I turn the call over to Aric to give you more details on our financials, I'm pleased to announce that our $0.18 per share dividend will be paid on February 13 to holders of record on January 30, and it's -- this is on top of the special cash dividend of $0.75 that we paid at the end of December, which is in addition to the $0.18 that we've paid last quarter. I would also like to update our business outlook for fiscal year '13. We now expect the diluted earnings to be in the range of $2.05 to $2.15, we're moving up the bottom line, compared to our previous guidance of $1.90 to $2.15. Also, as we go forward, you'll recall that our fourth quarter is a period that, for TESSCO, is affected most by seasonality and -- as it includes weather-related slowdowns in our commercial segment and the post-holiday slowdowns in our retail segment. So Aric, you want to take it from here?
Aric M. Spitulnik: All right. Thanks a lot, Bob, and good morning. We continue to be very pleased with the strong earnings results this year, especially in light of the ongoing transition of the 3PL business. This quarter was our second consecutive record earnings per share quarter, with $0.65 EPS, a 10% increase over last year's third quarter, and that's despite a 55% decline in gross profit in the Tier 1 retail market. Revenues for the quarter were $204 million. While overall, that's a 10% decline, our core revenues, which exclude the Tier 1 carrier customers, were up 18%. Gross profit for these core customers was also up 18%, so we've not seen any margin erosion in the aggregate. As for the Tier 1 carrier business, revenue declined by 40% as the Tier 1 carrier partner continues to transition that 3PL business. Also, last year's third quarter was by far the largest revenue quarter we've had in the Tier 1 business, and as I mentioned, we saw the continued reduction in margin from that Tier 1 customer, all of that attributable to the transition in 3PL business. Sequentially, revenues in the Tier 1 business were essentially flat. We have been experiencing -- we have been expecting a faster decline with the transition of the Tier 1 partner, but that has been slower than we expected. However, we're still on track for that business to be transitioned by the end of the year. And accordingly, we do expect a significant drop in revenues from that business in the fourth quarter. The combination of the strong core gross profit growth and the large decline in the Tier 1 carriers resulted in an overall gross profit decline of about 1%. SG&A was down 4% for the quarter, primarily a result of lower marketing expenses associated with the Tier 1 business and some lower performance bonus accruals. Accordingly, our Q3 operating income was up nearly $1 million compared to last year's third quarter and our operating margins continued to improve over last year, reaching 4.3%. EPS was $0.65, as I mentioned earlier, a second consecutive record quarter. EBITDA reached $10 million this quarter or $1.20 per share. Now I'll give you a little bit more detail on the segments, and we'll start with commercial. Commercial revenues and gross profits were up 17% over last year's third quarter. We're particularly encouraged by the results we drove in the public carrier, contractor and program manager market, as we continue to execute on our strategy of increasing our involvement in the system build-out that are going on right now. Revenues in this market grew by 75%, and gross profit grew by 58%. We also posted double-digit gross profit growth in the commercial dealer and reseller market, while the private and government system operator market posted a small decline. So for the Commercial business as a whole, a 17% gross profit growth combined with a 10% expense growth resulted in a segment gross profit of $14 million, up about 24%. Now for the retail market. To properly assess the retail market, we need to look at that segment in 2 pieces: the core business and the Tier 1 business. In the core retail market, revenues and gross profit increased by 20%, so we continue to be very strong serving the independent carrier agent and other retailers with exceptional customer service and high value add. In our Tier 1 carrier market, where we are transitioning out of the low-margin 3PL relationship, revenue declined by 40% and gross profits, down 55%. And as I said, we'll be out that business by the end of the year. Direct expenses in that segment were down 15%, and that's primarily due to the variable expenses associated with that 3PL business. Overall, the retail segment net profit contribution totaled almost $6 million, which was a 34% decline. We used a little over $5 million of cash in operations during the quarter and ended the quarter with $2.5 million in cash, with no outstanding balance under our revolving credit facility. Remember that we paid out the $0.75 special dividend in December on top of the quarterly $0.18 dividend. Also, our inventory levels came down quite a bit this quarter but inventory is still a little higher than it has historically been. However, our turns are still 9x this quarter. And as Bob mentioned, we announced a dividend of $0.18 that will be paid on February 13 to shareholders of record on January 30. Bob also mentioned the earnings guidance that we increased to $2.05 to $2.15 that would put us on track to achieve a fifth consecutive record-earnings year, despite what will be a significant reduction in Tier 1 gross profit. To give you just a little more color on the impact of that Tier 1 business, the revenues from that business so far this year have been about $186 million. Gross profit -- or gross margin on that business is about 10%, and expenses that will transition are mostly variable and typically about 2% of revenues. We think this was an excellent third quarter, a very strong follow-up of which -- to what was a great second quarter. We continue to achieve strong growth in the core business. Given our momentum in the core business and our strong balance sheet, we believe we are well-positioned as we finish out the fiscal year. Thank you and, operator, we'll now open the line for questions.
Operator: [Operator Instructions] Your first question comes from the line of Anil Doradla with William Blair.
Brian Nugent: It's Brian Nugent for Anil. I wanted to focus mainly on 2 segments. First, the public carrier market, some really good growth there. I just wanted to ask about, I mean, basically, the key drivers. Are there a lot of large projects that you expect to normalize over the next couple of quarters?
Robert B. Barnhill: The North American carriers are really starting to get behind the 4G networks, and we're seeing a lot of AT&T, Verizon, Sprint who are actively deploying their networks. And we're -- we haven't seen any real -- anything from T-Mobile yet, so the Tier 2s, if you will, will follow behind the Tier 1s. And we've really structured our sales team around the whole, what we call, the ecosystem of the public networks, where not only do you have the carriers and you've got the OEMs, but the program managers and our traditional strength with the general contractors. So it's a combination of the increased spend, but also a result of our intense focus in reorganizing the sales teams to really be focused on harvesting the opportunities in this segment.
Brian Nugent: So are there significant large projects that are ramping right now? Or ...
Robert B. Barnhill: They're -- it's -- now they're aggressively building. I mean, it's still -- I mean, it's strong, but it's all the 4G systems, and they're pretty much spread across the carriers and across the country.
Aric M. Spitulnik: And we think that will continue on for a while.
Brian Nugent: Okay. And then, can you actually talk about the linearity of that business? Did you see an influx? I mean it sounds like you guys are seeing something that, frankly, other people are talking about more in 2013 than in the December quarter. So I'm just curious if you saw an influx toward the end of quarter or was it pretty kind of a straight line, pretty strong throughout the quarter.
Aric M. Spitulnik: It was fairly strong throughout the quarter. I think what may be happening is we're probably picking up a little more market share. So it may not be that they're doing that much more building, but we're also involved with more of it right now and we have been especially last year, which was a down year for us in that market.
Brian Nugent: And then the margins have been pretty resilient on that business despite some good revenue growth. Is there some kind of mix shift that's going on or is it just leverage? Or how are you maintaining that margin?
Aric M. Spitulnik: Yes, I mean that margin has gone down a little bit in that carrier business around some of our infrastructure products, but we've been able to maintain pretty much everywhere else pretty strong consistent margins with the previous year. So some of it -- some of the improvement on other things have been mix but to offset a little bit of the leverage that we don't have on this bigger builds.
Brian Nugent: Got you. All right. And then shifting gears to the 3PL relationship. Looking forward to moving past the stop, but I do have a few questions as it winds down. Is -- the $186 million, you're saying that's the total relationship and not just the 3PL? I just want to clarify that first.
Aric M. Spitulnik: That is just the 3PL business. So if you look at the segment where we list the Tier 1 carriers, that's a lot bigger than the $186 million, so the difference between that is what will continue on in the next year, other Tier 1 carriers plus that, the other components of the Tier 1 that will continue on.
Brian Nugent: So what percentage of revenue was your largest customer?
Aric M. Spitulnik: I think it was 34% this quarter.
Robert B. Barnhill: But then, when you take out that 3PL relationship, there's no customer bigger than, what?
Aric M. Spitulnik: Yes, about 8%, so far this year, has been our biggest customer, if you take out that main customer.
Brian Nugent: Got you. And then...
Harriet C. Fried: 8% on the remaining business, not 8% on the total today.
Brian Nugent: Yes. And can you just give an idea, if you know? It sounds like it's a little bit unpredictable, but just on the trajectory, are you expecting kind of a linear progression through the end of March? Or is there a bigger step-down in one quarter versus the next quarter?
Robert B. Barnhill: Yes, I think this quarter will be step-down from last quarter, and it -- we're expecting it to be totally transitioned by the end of March, the end of the fiscal year. And just to reiterate what we said in the past is that all of the expenses are variable other than some key talent that we've already redeployed into the core market. And then, the inventory and receivables are in very good shape, so there won't be any major afterlife cost, if you will.
Brian Nugent: Yes, I was going to ask about that. So just more specifically, on the OpEx levers that you have, I mean, how -- you're basically saying it is variable, so it's kind of 1-for-1 where you can quickly take out the 3PL OpEx out of the model as the revenue gets adjusted or you adjust to that revenue trajectory.
Aric M. Spitulnik: Yes.
Robert B. Barnhill: Yes, absolutely. It's 100% variable by piece, so there's no fixed cost in that at all, other than that key talent that we've already redeployed into the core.
Brian Nugent: Got you. And then, you just commented on it, but on the 3PL, is there -- there is some sort of agreement or you are taking steps that will kind of protect you from getting stuck with that inventory?
Robert B. Barnhill: Absolutely. I mean, this has been a very mutually agreed to transition. We're working as partners on this transition, and so inventory and receivables, there's no risk there at all.
Brian Nugent: Great. And then, just kind of bigger picture on fiscal '14. I assume we'll get a better picture of that next quarter, but can you just give us an idea? I guess, one way to look at it is just ranking the growth profile of each of the core businesses. I mean, are you -- the way that the year-over-year trajectory was this quarter, is that indicative of what you're expecting in 2014, just ranking-wise? So public carrier, is that what you're most bullish on in fiscal '14?
Aric M. Spitulnik: Yes. I'd say the public carriers and the user market -- the user market is combined with the government market, and the government market will continue to be challenging since there's not a whole lot of money in the government market right now. But the user market, we're still pretty bullish on that. It's had a bit of a down year after a really strong year the year before, but we still think there's a ton of opportunity in that user space, and I think the public carriers base will continue to be strong for us as well. Retail, we're looking at some decent growth there as well, but not explosive growth.
Operator: Your next question comes of the line of Steve Shaw with Sidoti & Company.
Steve Shaw - Sidoti & Company, LLC: Do you guys anticipate any major mobile device releases? And if so, any specific timetable you might have in mind?
Robert B. Barnhill: The mobile devices, the device accessories will continue with the whole suite of charging and power devices and also, the protection and carry cases. So it's going to be more of a -- not a -- I won't say a Big Bang, if you will, but a continued introduction of new products, new packaging and new value for the retailer, as well as we're taking these products into the commercial market, as well as retail. So we'll probably see more coming in through the Commercial market in addition to the retail market.
Operator: Your next question comes from the line of Bentley Offutt with Offutt Securities.
R. Bentley Offutt - Offutt Securities, Inc.: A couple aspects of potential growth for next fiscal year. The first one is the -- what impact or future impact, non-impacts or additional sales will come from the results of Hurricane Sandy? I read in one in one of your recent notes that roughly estimated 25% of the towers where knocked out during that particular storm. And so I'm wondering what it is TESSCO has been able to or will be able to achieve as a result of the restoration of that damage?
Robert B. Barnhill: We've already gotten some business. It's probably -- Sandy has probably delayed more than it's gained to date. But you're right, is that one of our core hotspots in terms of the opportunity is helping with the repair and maintenance of damaged sites. So I really can't quantify it, but it's going to definitely be a source of business for us as we move into -- as they start to rebuild this infrastructure.
R. Bentley Offutt - Offutt Securities, Inc.: Okay. And the second thing is, one of the areas of great excitement for TESSCO a year ago was Positive Train Control. And I understand, according to Westinghouse Airbrake, which is big in that area, they expect to see that start to really ramp up as far as moving from the test area into the field this coming year. Have you had any successes to date with your relationship with General Electric?
Robert B. Barnhill: Yes. We continue to do -- as you mentioned, get more test sites out. And we feel the same way as this mandate is by 2015 now, so they're going to start accelerating, but it probably won't be until the end. But there's more test systems, there's more smaller systems. People are getting their feet on the ground with this. But we also see just increased opportunity from the railroads, in general, for both their signaling as well as their communication needs. But you're right, we were very excited about it, and then the government gave a delay on the requirement so that kind of pushed everything back. But it's still going to be a good business as we go forward.
R. Bentley Offutt - Offutt Securities, Inc.: Okay. And last but not least, is your proprietary business, Ventev and TerraWave. And is that -- is that showing significant growth or -- and where do you see that going next fiscal year?
Robert B. Barnhill: Right now, once you to take the 3PL relationships out, it's about 10% of revenues and with much higher margins. And we expect both on the wireless infrastructure business as well as in mobile accessory business to see some impressive growth as we move through this quarter. It's been -- both have been slightly up.
Aric M. Spitulnik: Yes. So the 10% percentage is pretty much maintained from last year. So in total, the dollars have gone up since the revenue has gone up.
Robert B. Barnhill: But we expect those businesses to grow faster than the core, the total core. So the -- our goals for Ventev and our product roadmaps for Ventev is to have a faster growth than the rest of the business.
Aric M. Spitulnik: Yes. And we've had some big investments in that business this year with the hope of some long-term growth, so marketing- and people-wise and also technology wise. So we're excited about what next year will bring for that business.
R. Bentley Offutt - Offutt Securities, Inc.: Have you -- is there a -- as far as the leadership within this group, has there been a change or -- in the leadership of the Ventev effort?
Robert B. Barnhill: So basically, we've split the retail -- the wireless device business from the wireless infrastructure business into 2 pieces, staffed them accordingly so they have total focus on their area, and we've increased the amount of people. We also have a major initiative on the Ventev website. And then, on the retail side or the commercial -- consumer side, we'll have a shopping cart experience where consumers can buy on a direct basis, as well as go through the trade.
R. Bentley Offutt - Offutt Securities, Inc.: So your efforts in cooperative marketing, et cetera, they're moving along at the level that you had anticipated?
Robert B. Barnhill: Sorry, I don't quite...
R. Bentley Offutt - Offutt Securities, Inc.: Or in other words, you've -- last spring, there's a relationship you signed with 1 or 2 cooperative groups for online marketing, and I was just interested in your progress there.
Robert B. Barnhill: The progress is not as quick as we would like it. We're still perfecting the website that will allow them to -- the co-ops to buy directly for the agencies' needs, but then also to allow it to be an employee direct site. And just getting the contracts and getting all that straight has taken longer than we had anticipated. But it is going to be -- it is going to create for us an offer that we can take into the other government agencies throughout the United States.
Operator: Your next question comes from the line of Ali Motamed with Robeco.
Ali Motamed: Can you talk a little about working capital and what kind of benefit we may get from the termination of the 3PL relationship?
Aric M. Spitulnik: Yes. There will be one -- it will probably be mostly happening in this current quarter that we're in now. Some of it's going into the final -- end of the first quarter of next year and probably be in the $5 million to $10 million range.
Ali Motamed: Of net cash generation when we're done?
Aric M. Spitulnik: Yes.
Ali Motamed: Okay. And then, on the margin side, if this all falls underneath that segment. I think you had 20 -- $209 million in sales and $228 million in gross profit, so you were saying it's under 10% gross margins. Can you elaborate a little more on -- is it a fixed gross margin relationship? I mean it seems like it's been remarkably consistent?
Aric M. Spitulnik: Yes. It has been fairly consistent, though it has gone down as we've gone through this year. There's a -- it's a little different kind of pricing so we make almost -- it's a slightly variable but more fixed per unit kind of business. And what happened this year is when the margins on that business have gone down, is that we've just been doing more of their bigger, high-dollar items like these expensive cases, these rugged cases and stereo speakers and things like that, that have higher revenues associated with them. But since it's a mostly fixed fee, the margins aren't very high. So that's why it's sub-10%.
Ali Motamed: And we bidding on any future similar type of business that could fill this for us?
Robert B. Barnhill: We're really -- we want to move to -- continue the aggressive focus on what we call the Real merchant business rather than the fee-for-service business. And as we've explained in past conferences, is that it originally started that way in terms of with the Tier 1 carrier is a true merchant business and then, slow -- over the years, migrated to this 3PL. So our focus is to go after the higher-margin business, keep our concentration down with customers and basically, replace the profitability with that high-margin business and continue with the operating productivity as well.
Ali Motamed: Right. And then, you mentioned that 8% customer, is that a type of thing where that's a regular 8% customer? Or is it a -- big carriers come and go and then one -- next quarter, you'll have another 8%, but it may not be the same?
Robert B. Barnhill: No. I think it's a steady customer, and then, after that one customer, we're probably down to, what, 5%.
Aric M. Spitulnik: Yes. So the top 10 customers will move around a lot, but they're essentially the same top 10. The order shifts around, so maybe the top 20 or so jump around into that 1 through 10 spot. But none of them will be above 10% going forward.
Operator: [Operator Instructions] I would now like to turn the call over to management for closing remarks.
Robert B. Barnhill: Thank you. Well, thank you, all, for joining us today. As always, we appreciate the opportunity to go over the results and give you an update on what we're doing and answer your questions. And as we've said in the past, this convergence of wireless and Internet is really creating opportunities, new opportunities that we know revolutionize the way we live, work and play. And the organizations that we serve are exploiting these opportunities by deploying new and diverse wireless systems. And we're there in the center of it, partnering with these people to help them make wireless work. So as we move towards fiscal year 2014, we expect a continued explosion of mobile devices and the required support accessories. We also, as we've mentioned earlier, is we expect the accelerated expansion of the carriers' networks that support the hunger for the broadband and the desire to be constantly connected. But we really see the creation of new, private systems, the enterprise, transportation, health care, and these systems will be important impetus for our new business. Our goal is to leverage all of these trends and provide the immediate reliability, the products that they need, plus the supply chain solutions at the lowest total cost. I think, in closing, it's important to really look at the foundation that we have in place for growth. First, the extraordinary opportunities in wireless, the fact that we have broad and diverse expanding customer and manufacturer relationships. We're really the experts, the industry experts, in the knowledge as well as the product delivery and certainly, logistics. We are exiting from that concentrated high-revenue, low-margin 3PL business. We see our margins both at the gross margin level, as well as the operating leveling, continue to increase. We've got the aggressive Internet database marketing system initiative, the expansion of our Ventev proprietary products. We also are ramping up our search for potential acquisitions of synergistic companies, where we can find new product and new customer to blend into our existing system. We've got a very strong balance sheet, and we've just got a terrific leadership and team-of-team talent. So we're obviously excited and energized by the possibilities in our strategic initiatives to make the results happen and drive this new level of success that we're expecting. So we thank you, and we look forward to talking to you again in 3 months, if not before. So thank you very much. Have a great day.